Operator: Good afternoon. Thank you for joining Tetragon's 2021 Annual Report Investor Call. You are all in listen-only mode. The call will be accompanied by a live presentation which can be viewed online by registering at the link provided in the Company's conference call press release. This press release can be found on the homepage of the Company's Web site, www.tetragoninv.com. In addition, questions can be submitted online while watching the presentation. And as a reminder, this call is being recorded. I will now turn you over to Paddy Dear to commence the presentation.
Paddy Dear: As one of the Principals and Founders of the Investment Manager of Tetragon Financial Group Limited, I would like to welcome you to our investor call; we're going to focus on the company's 2021 results. Paul Gannon, our CFO will review the company's financial performance for the period. Steve Prince and I will talk through some of the detail of the portfolio and performance, and Steve will spend some time discussing the outlook. As usual, we will conclude with questions, both taken electronically via the web-based system at the end of the presentation, as well as those received since the last update. The PDF of the slides are now available to download on our Web site, and if you are on the webcast, directly from the webcast portal. Before I go into the presentation, some reminders; first, Tetragon's shares are subject to restrictions on ownership by U.S. persons, and are not intended for European retail investors. These are both described on our Web site. Tetragon anticipates that its typical investors will be institutional and professional investors who wish to invest for the long-term in a capital appreciation and income producing investment. These investors should have experience in investing in financial markets and collective investment undertakings, and be capable themselves of evaluating the merits and risks of Tetragon's shares. And they should have sufficient resources, both to invest in potentially illiquid securities, and to be able to bear any losses, which may equal the whole amount invested that may result from the investment. I would like to remind everyone that the following may contain forward-looking comments, including statements regarding the intentions, beliefs or current expectations concerning performance and financial condition on the products and markets in which Tetragon invests. Our performance may change materially as a result of various possible events or factors. So, with that introduction, over to Paul.
Paul Gannon: Thanks, Paddy. Tetragon continues to focus on three main metrics. We look at how value is being created via NAV per share total return. We also look at investment returns measured as a return on equity. And finally, we monitor how value is being returned to shareholders through distributions, mainly in the form of dividends. The fully diluted NAV per share was $29.86 at 31, December, 2021. After adjusting for dividends reinvested at the NAV, the NAV per share total return for the year was 14.1%, which compares to 9.5% the prior year. Since IPO, in 2007, Tetragon has now achieved an annualized NAV per share total return of 11.5%. For monitoring investment returns, we use an ROE calculation, which was 17.3% for 2021, net of all fees and expenses, and above our target ROE range of 10% to 15%. With reference to [indiscernible] market, the average ROE achieved since IPO is now plus 12.5%, which is in the middle of the target range I just mentioned. Later on the call, we've give more color at to how the different asset classes contributed to the return of share. Finally, moving on to the last key metrics, dividends; tetragon declared a dividend of $0.11 for the fourth quarter, an increase on the previous quarter of $0.02, and represents a dividend of $0.41 for the full-year. Based on the quarter-end share price of $8.50, the last four quarters' dividend represents a yield of approximately 4.8%. Finally, on to the NAV bridge, this breaks down into its component parts for change in Tetragon's fully diluted NAV per share from $26.57 at the end of 2020, through to $29.86 per share at the end of 2021. Some of the component parts here, the investment income increased NAV per share by $6.38 per share, operating expenses, management, and incentive fees reduced NAV per share by $1.82, with a further $0.06 per share reduction due to interest expense incurred on the revolving credit facility. On the capital side, gross dividends reduced the NAV per share by $0.41, and there was a net dilution of $0.81 per share which is labeled as other share dilution. This bucket primarily reflects the impact of dilution from stock dividends, plus the additional recognition of equity-based compensation shares. I will now hand over to Paddy.
Paddy Dear: Thanks, Paul. As on previous calls, I'd like to put the company's performance in the context of the long-term. Tetragon began trading in 2005, and became a public company in April, 2007. So, the fund has approximately 17 years of trading history. This chart shows the NAV per share total return, which is the thick line on the top, and the share price total return, which is the dash line. The chart also includes equity indices for the MSCI ACWI and the FTSE All-Share, and the Tetragon Hurdle Rate of LIBOR plus 2.65. As you can see, Tetragon has returned 393% since IPO on a NAV total return basis. And over the last 12 months, has returned 14.1% on a NAV total return, and that compares with 18.3% for the FTSE All-Share, and 90% to the MSCI ACWI Word Index. So, 2021 was a good year for Tetragon returns, and this is reflected in the increase in NAV per share, the increase in the dividend, and, indeed, the proposed share buyback which was announced this morning. Continuing the theme of looking at the long-term, here are some more performance metrics. Our return on equity or the investment return target is 10% to 15% over the cycles. And as Paul said, the average return, since IPO, is 12.5%, so that is in the middle of that range. Notwithstanding the last few months' inflation numbers, as the world tries to emerge from COVID-induced lockdowns and the volatility this has created in longer-dated bonds, risk-free rate interest rates still remain v low. The implication being that we should -- not to expect all risk assets to return at the lower-end of long-term expectations. And that, with respect to Tetragon, this means, ex-ante, our return expectations are at the bottom end, and could even possibly be below the 10% to 15% range. The last figure on this table shows that 35% of the public shares are owned by the principals of the investment manager and the employees of TFG Asset Management. We believe this is very important as it demonstrates a strong belief in what we do as well as a strong alignment of interest between the manager, TFG Asset Management employees, and Tetragon shareholders. This next slide shows the composition of Tetragon's assets, so, looking at the breakdown of the $2.9 billion of net asset value. These color disks show the percentage breakdown of the asset classes and strategies as at the year-end, 2021, on the right, and compares them with year-end 2020, on the left. So, the notable changes are, firstly, that TFG Asset Management has increased to 44% of our NAV, and that's up from 34% last year -- or sorry, the end of 2020. And the driver for that, which we'll obviously get into some detail, has been the growth in existing businesses, particularly Equitix and LCM. The second area of note is that our private equity and venture capital exposure is 11%, and that is down from 16%. And that is mainly due to the partial divestment of Ripple equity. Ripple generated gains of approximately $100 million in 2021, and Steve will cover this and the investment in more detail when he discusses this segment of the portfolio. Our other asset classes have moved, give or take, pro rata with those two movements. And I would just note, we have a small investment allocation to legal asset and that is through the Contingency Capital Fund as LLP. Now, let's move on to discuss the year's performance in more detail. The NAV bridge per share with a high level overview of NAV per share and this was a breakdown of the composition of Tetragon's NAV at the end of 2021 plus the end of 2020 and it's also high level by asset class, and also the factors contributing to both those changes NAV. So, this table show investment performance plus capital flows. And so, it ties back to the changing NAV. As you can see from the bottom row of the table, the aggregate investment performance, which is labeled gains and losses, generated a gross profit for the period of $609.6 million. Now specifically within that, TFG Asset Management, which is our private equity holdings and asset management company, had gains of $442.2 million. And thereby being the strongest performing asset class. These asset management businesses continue to perform well and grow. And aggregate AUM increased to $37.1 billion from about $30 billion a year ago. I will talk in more detail on that in a moment. Event-driven equities, convert, and other hedge fund strategies gained $13.8 million. Bank loan and these are investments through CLO generated again a $48.4 million. Real estate had a small gain of $2.1 million. Our private equity and venture capital gained $120 million. And as I mentioned will talk a little bit about Ripple in a moment. Legal asset had a small gain of $0.6 million. And other equities and credit had a loss for the year of $18 million. So, that's the high level look. And now, let's move into more detail on each category. And we will start at the top with TFG Asset Management. And with that, over to Steve.
Steve Prince: Thanks, Paddy. Before we go into the investment performance, I wanted to discuss Tetragon's longer-term investment strategy with respect to TFG Asset Management. As we communicated to investors last year, Tetragon's longer-term investment strategy with respect to TFG Asset Management has included transactions relating to individual businesses within TFG Asset management such as the merger/acquisition of GreenOak by Sun Life in 2019 in addition to the consideration of an initial public offering or other strategic transaction at the TFG Asset Management level. The ability to do a transaction for TFG Asset Management as a whole is impacted by the fact that notwithstanding its growth, TFG Asset Management is currently at a substantially smaller scale than the large multi-strategy organizations that lead the publically traded alternative asset management sector. As we laid out last year, Tetragon's ability to do a successful transaction at the TFG Asset Management level depends on further growth and assets under management and EBITDA. in each case, obviously taking into account the amount, sustainability, and blend of management fees and performance fees as well as diversification, historic and projected growth, as well as relative stages of development of the various businesses on the platform. Although currently BentallGreenOak and LCM maybe considered mature businesses, Equitix, Polygon, and Acasta Partners which is the Polygon convertible business that we rebranded on March 1st, our are left to varying degrees. And four other businesses, Contingency Capital, Hawke's Point, Tetragon Credit Partners, and Banyan Square Partners are relatively early in their development. Therefore, at this point these key elements have not yet been satisfied for IPO or other strategic transaction involving TFG Asset Management as a whole. At the same time, however, the high valuations reflected in public and private transactions involving asset management companies as well as the strong performance of Equitix and LCM in particular has enhanced the attractiveness of individual business transactions as an alternative way of realizing the value inherent in TFG Asset Management. As such, the strategy for TFG Asset Management over the coming years will continue to include individual business transactions potentially both private and public that would take advantage of this value enhancement. Although transactions such as these could have the effect of shrinking TFG Asset Management's portfolio of relatively mature market leading businesses, thereby possibly delaying progress toward a strategic transaction at the TFG Asset Management level, they would enable TFG Asset Management to reap the benefits of its success and growing successful asset management businesses without having to wait for an IPO or other strategic transaction at the TFG Asset Management level. So, now I'd like to move on to the performance of our asset managers during 2021. Our private equity investments and asset management companies through TFG Asset Management represented the largest and strongest performing asset class in the portfolio during the year. It produced total gains of $442 million, driven primarily by Equitix, which increased by nearly $350 million in value that made it the most significant contributor to the portfolio. The gain at Equitix was driven by a number of factors. First, the business continued to raise capital at a significant rate, both in funds and managed accounts, seeing a 23% increase in assets under management during the year. In addition, during 2021 a number of more directly comparable asset managers listed on major trading exchanges bringing additional market led valuation transparency to a manager like Equitix that had not been available in prior-years. TFG Asset Management investment and LCM gained $59.8 million in 2021. LCM, which is our specialist manager in below grade U.S. broadly syndicated leveraged loans successfully launched six new CLOs during 2021. The aggregate assets under management of those offerings were $2.8 billion, which brought LCM's AUM to $11.2 billion. The BentallGreenOak investment made a gain of $34.3 million while performance amongst our other asset managers was more modest, I want to share a few of our notable developments. Tetragon Credit Partners which is TFG Asset Management structure credit investing business increased in value by $2.4 million in 2021. During the year, Tetragon Credit Partners TCI III vehicle deployed the remaining 17% of its own investment capital and began to raise capital for its TCI IV vehicle. Contingency Capital, which sponsors and manages litigation finance related investment funds, was valued for the first time as of the end of the year at $6.1 million. Tetragon has provided a loan to contingency of $4.9 million. Tetragon's investment in Polygon reported a loss of $3.4 million and our investment in Hawke's Point referred to a loss of $0.9 million during the year. Tetragon's investment in Banyan Square Partners was valued at $0.8 million which was unchanged versus the end of the year 2020. Moving on to the EBITDA of TFG Asset Management, in 2021, TFG Asset Management's EBITDA was $50.7 million which is 33% lower than the prior-year. Higher operating costs and lower performance fees were the primary factors behind the decrease. Management fee income continued to grow during the year has increased by $17.6 million or 14%. Of note, Equitix management fee income increased by $8.4 million or 13% as AUM continued to grow. Polygon's management fee income increased by $5.3 million, or 28%, due to increased AUM. LCM added $1.6 million in management fees following the issuance of their CLO's. Contingency Capital loss $1.3 million and Banyan Square lost $0.6 million. Both of these businesses appeared in the income statement for the first time during the year. Overall performance and success fees were down $22 million on the prior-year driven primarily by decline in Equitix primary income, as well as decreases in performance fee income earned in aggregate by our hedge funds. As noted previously, unlike management fee income, performance and success fees can be quite volatile in nature and subject to timing differences. The other fee income category includes two different buckets of fees. One income generated by Equitix on management services contracts, which is known as their EMS business and two, certain cost recoveries from Tetragon relating to seeded Polygon hedge funds. EMS continues to be the main driver and this increased 21% year-on-year. Distributions from BentallGreenOak reflects three various categories, one is quarterly fixed distributions, two is quarterly variable distributions and three is distributions of carried interest. Variable distributions increased by $6.2 million and fixed payments contributed $14.1 million. Third is interest accounted for the remainder. Operating expenses increased by $32.5 million year-on-year with a little over half of this coming from Equitix. This business added headcount to support its continued growth, as it added assets during the year, the scaling up of the team and infrastructure for Contingency Capital contributed close to half of the remaining growth as this business has an initial close on its first fund and managed accounts. I'm going to turn it over to Paddy now who's going to go over our hedge fund investments.
Paddy Dear: Thanks, Steve. Tetragon invests in event driven equities, convertible bonds and some other strategies to hedge fund. Majority of these investments and through Polygon managed hedge funds. Our investment in the Polygon European event driven strategies gained $4.1 million for the European event driven investments offset by loss of $3.9 million in the global equity strategy. Our investment in the Polygon convertible bond fund made $15 million for the year. And of note, the fund was nominated for the year seven times since inception for the 2021 with Intelligence EuroHedge award in the convertibles and volatility category. And it's actually won that award five times. I would note that this business as of March 1 has been renamed to Acasta Partners and the fund renamed to Acasta Global Fund. And this is in line with my company, obviously the majority owner of that business. So, in future reporting, you will see that out of Acasta. Investments in hedge funds managed by third-parties lost $1.3 million for the year. And in terms of some cash flows during the year, we redeemed $50 million from the European event driven strategies and added to the position in the global equities fund and made a small new investment in a third-party hedge fund. Moving out onto bank loans, Tetragon predominantly invest in bank loans through CLOs by taking majority positions in the equity tranches. Tetragon's investments are split as shown here between LCM deals, non-LCM deals and funds managed by Tetragon Credit Partners. As you can see in aggregate, our bank loan exposure recorded a gain of $48 million to 2021 and this was as corporate credit fundamentals rebounded strongly from the depths of the COVID crisis. Directly-owned LCM CLOs generated $24.2 million of that P&L during the year and that was a fair value benefited across the board from sustained improvement in the underlying loan fundamentals, as well as a recalibration of certain modeling assumptions used to value the positions to take into account the strong recovery in economic conditions. These investments also returned $36 million of cash income to Tetragon. During the period, Tetragon purchased securities in six new LCM deals for total of $26.1 million and this was a majority stake in the equity tranche of LCM 31 Limited and minority investments in the equity tranches of LCM's 32, 33, 34, 35 and 36. Tetragon also made investments in the debt tranches of LCM 32, 33, 34, 35 to support the compliance of EU risk retention rules for those transactions. Tetragon's investments in vehicles managed by Tetragon Credit Partners generate a profit of $20.6 million and similar to the LCM deals, this was driven by sustained improvement in underlying loan fundamentals, as well as a recalibration of certain modeling assumptions used to value the positions. During the year, Tetragon Credit Partners completed refinancing in three CLO transactions and reset two CLOs reducing the interest cost of debt and increasing the cash flow generation ability of such equity investments. Tetragon Credit Partners fund a TCI IV also had it first closed during the year. Overall, these investments returned $32.5 billion of cash income to Tetragon. In addition, during the year Tetragon Credit Partners Opportunity Fund was closed in the first-half with principal and profits being returned to investors. And this was a dislocation in prices that it was established to take advantage of during the crisis over 2020 had been reversed in the market during 2021. And finally, the non-LCM managed CLO segment generated a gain of $3.6 million and distributed $4.3 million of cash income during the year. Next is real estate. Tetragon holds most of its investments in real estate through BentallGreenOak managed funds and Co-investment vehicles. The majority of these have private equity staff funds, concentrating on opportunistic investments, targeting middle market opportunities in the U.S., Europe and Asia. With BentallGreenOak believes it can increase value and produce positive unlevered returns by sourcing off market opportunities where it sees pricing discounts and market inefficiencies. Investments in the U.S., funds lost $8.9 million and this was primarily driven by revaluation in properties held in U.S. fund too, where the fund has exposure to some hospitality and commercial assets in New York -- in the City of New York, and LA in particular European investments had a small loss of $0.2 million in 2021. BentallGreenOak's European focused products of primarily targeted distressed opportunities and deep value acquisitions in markets with solid outlines and fundamentals. And historically these assets have focused on logistics and office space. But there is now an increasing focus on logistics, life sciences, cold storage and data centers. Geographically, the focus has become more diversified with investments across multiple countries in Western Europe. The Asian funds gained $4.4 million and investments in Tetragon had a small gain of $0.3 million. The last section here entitled other real estate increased in value by $6.5 million. This is our commercial farmland in Paraguay managed by Scimitar a specialist manager in South American farmland. During 2021, the farm lands are revalued by an independent valuation specialist, reflecting the improvements in the land held by Tetragon and the general market conditions in Paraguay. So with that, let me hand back Steve.
Steve Prince: Thanks, Paddy. Tetragon's private equity and venture capital investments are split into the following subcategories. Investments managed by Hawke's Point; investments managed by Banyan Square Partners. Other funds and co-investments were Tetragon investment a non-affiliated fund as a limited partner or in a special purchase vehicle as a co-investor and direct, which comprises direct private equity investments on the balance sheet. Those include venture capital investments. This segment generated gains of $120.2 million during the year, which was mainly driven by gains from the investment and Ripple. That investment appears in the direct segment. Total gains in the direct PE segment were $114 million in 2021, with close to $100 million of that gain, coming from the December reduction of Ripple Labs Series C Shares plus accrued interest by the company. Those shares were redeemed for cash. Tetragon had became interested in investing in Ripple in early 2018, viewing it as an attractive -- viewing it as attractive because of XRP Ripple's digital asset has certain characteristics that make it more energy efficient, less expensive, and faster to use in transactions and other cryptocurrencies. Tetragon also felt at the time that Ripple Series A and B preferred stock were trading on the secondary markets at prices that did not reflect the full value of the XRP. That Ripple held. In late 2019 Tetragon became the lead purchaser in Ripple Series C preferred stock offering acquiring $150 million of the security. In late 2021 Ripple elected to redeem the entire class of Series C preferred stock, including Tetragon's holding at the time of 1.5 times the purchase price plus accrued payments on dividends. Touching on remains invested in Ripple preferred stock acquired in the secondary market over the last year and in support of the company's current position as well as its direction and maintains his conviction in Ripples prospects. Tetragon's mining finance investments managed by Hawke's Point generated a loss of $39.4 million during 2021. This was driven primarily by weak operational performance at one of its Australian gold mining investments and the associated financial impact of that. Tetragon invested $6 million into a new co-investment vehicle managed by Hawke's Point during the first-half of the year. Banyan Square Partners investments made gains of $11.7 million during 2021. And at the end of the year, those investments comprise 10 positions. Capital called during the period was $52.4 million. Investments in externally managed private equity funds and co-investment vehicles in Europe and North American made gains of $33.9 million. Those are spread across 22 different positions. Capital called by these investments during the period totaled $24.3 million. Moving on to a new segment on the list of allocations we have legal assets, Tetragon makes investments in legal assets through vehicles managed by Contingency Capital. Tetragon made its first commitment into the asset class in 2021 $29.7 million of which was called a gain of $0.6 million was generated for the year. Moving on to the last category of investments on our balance sheet, these are our direct balance sheet investments in the other equities and credit category and those produce losses of $80 million during the year. Our other equities bucket generated losses of $24.2 million and those investments comprise European and U.S. listed public equities and technology, biotechnology and financial services. The other credit bucket generated a gain of $6.2 million during the year and that was driven by corporate bonds. Lastly, our cash position, Tetragon's net cash balance, which is cash adjusted for known accruals and liabilities, short and long dated was $7.6 million as of the end of the year. Tetragon has in place at 10 year $250 million revolving credit facility. At year end, $75 million of this facility was drawn and this liability has been incorporated into the net cash balance calculation. The company actively manages its cash levels to cover future commitments, and to enable it to capitalize on opportunistic investments and new business opportunities. During 2021 Tetragon used approximately $330 million in cash to make new investments and $24 million to pay dividends, $557 million of cash was received as distributions and proceeds from the sale of investments. Future cash commitments are approximately $109 million. Those comprise hard investment commitments, which include commitments to BentallGreenOak of $43 million, private equity funds of $18 million, Tetragon credit partners $11 million, Contingency Capital funds $10 million and our loan to Contingency Capital is $8 million. Also, our future cash commitments comprise some soft investment commitments where we have ultimately just discretion on making the allocation and to Banyan Square Partners of $8.5 million and Contingency Capital of an additional $10 million. The following table lays out some of our expectations for the overall portfolio resulting from these moves. Before we go to that table, however, I do want to mention that this morning Tetragon announced its intention to repurchase approximately $50 million of shares, which based on Tetragon's, current NAV and share price should be accretive to NAV per share. We're pleased with the company's returned approximately $1.5 billion to investors through dividends and share repurchases since our initial public offering in 2007. Tetragon will continue to seek to return value to its shareholders including through dividends, and share repurchases. Moving on to the final slide, our future investment expectations, I'll go through a few of our expectations, some of which are reflected by the cash movements I laid out on the prior slide, but it's always worth pointing out that one of our advantages is our ability to be opportunistic as it relates to investing in what we see as the most compelling opportunities at any given time. As you're aware, we launched Contingency Capital with Brandon Baer at the end of 2020, and Tetragon will continue funding its commitments to this business. But we continue to look at new businesses to buy and build on the TFG Asset Management platform. There's nothing we're considering imminently. We expect our event driven equity exposure to remain stable, but we do expect to slightly reduce our exposure to our convertible strategy, as that position has increased due to investment gains. Our pre-crisis CLOs are now fully amortized, but we expect to invest in CLOs via various Tetragon credit partners' vehicles, while at the same time receiving cash back from some of the their initial funds. While we do have commitments to BentallGreenOak funds, as I mentioned, we would also expect some of our existing investments to continue distributing capital. So, on the whole, we would expect our real estate investments to be relatively stable over the next 12 months. We expect our private equity allocations to grow over time. There are few small additional LP commitments we have yet to fund, as mentioned. And we expect our Banyan Square allocation to continue to grow. The other equities in credit bucket is one similar to TFG Asset Management. We expect to continue to invest in these opportunities, but the timing of those investments is less certain. Lastly, we are hopeful that in this current environment, there will be additional allocations we will be making to new asset classes. I'm now going to turn the call back over to Paddy to answer our Q&A.
Paddy Dear: Great, thank you, Steve. And thank you everyone, as always, who have sent in questions, both those we've received over the last few weeks, and also those that have been entered today.
A - Paddy Dear: The first question I'm going to go to, if it's okay, is actually more of a generic question, in the sense that, as you'd expect, we have several questions concerning the fact that our company's shares trade at a very large discount to our next asset value. And variously, people ask the question as to what are we doing about it, how are we aligned. And so, rather than read out specific questions, I thought I'd sort of tackle that one first as it is, it's certainly one of the more important questions to tackle. Maybe if I touch on the second piece first, which is how are we aligned. One of the things we mention in the presentation and, indeed, we have in the fact sheet, is the amount of Tetragon shares that are owned by principals and of the manager and employees of TFG Asset Management, and that figure is about 35%. And I can assure that the owners of those 35% of the shares care hugely about not just the shares representing or trading at a value that represents fair value, but also the liquidity is incredibly important. So, I think the fact of alignment is a very strong one, and is evidenced by that. Secondly, what are we doing about the discount and how can we help in narrowing that discount as a starting point on a path to fair value. And I suppose, in the very short-term, we would hope that today's announcement, and the annual report itself, will help in that regard. And by that, I mean we've got -- obviously had a strong NAV per share growth for 2021 across the diverse portfolio. And ultimately producing non-correlated returns is what we have to do as a starting point to deliver to the share price. Second thing, we've increased the dividend by 10%, so if one is to annualize that on the current share price dividend, over 5%. And thirdly, a proposal to buyback $50 million of the company's shares, which will hopefully be not only accretive to the NAV per share, hopefully, but also may deal with any form of overhang of potential sellers. So, that's in the short-term. I think we accept that, in the longer-term, it's going to take more, and will be a sustained effort on multiple fronts. And as I say, we need to continue to perform well, we need to deliver good lowly correlated performance, and that is a key objective, and we will continue to communication, introducing new potential investors to the company, keeping the dialogue with existing shareholders. And we do recognize that liquidity is obviously an important process as well. So, moving on question-wise, a very specific one about the share count, so the share count went down 400,000 shares, i.e., they was positive share count accretion, assume that means the company bought $4 million to $5 million worth of shares in January. And I think that's the specific one, so I'm going to ask Paul to answer that, if I may.
Paul Gannon: Sure. Yes, so, in January of this year, some of the TFG Asset Management employee [indiscernible], these shares are delivered to are recipient net of taxes withheld. And the shares acquired here by Tetragon are from TFG Asset Management to facilitate the payment of that withholding. As the question identified, this acquisition was accretive to NAV per share.
Paddy Dear: Thanks, Paul. And next question, what is the company's policy regarding the company's ordinary shares? There seems to be no effort to promote their value, which is contrary to the normal approach. So, I'm not entirely sure what the meaning of promote is in this context, but let me have a stab at it. One of the things we said at the beginning of this call, and I think everyone is well aware is that Tetragon share are not for retail, they are complex financial instruments, and we would expect our investors to be both professional and institutional or at least professional and, hopefully, many institutional investors. So, we're not, in a sense, in the business of promoting the company, but we do have two very important brokers who are available, both Jefferies and JPMorgan, who write regularly on the company. We do have an IR department, we probably do upwards of a hundred meetings a year with investors and potential investors, and obviously very keen and happy, within reason, to talk to anyone who has an interest. So, I'm not sure of that answers the question specifically, but I hope it does. Next, is -- question is this, I have long felt that Tetragon is an attractive company, in principle, with strong underlying NAV returns, however the governance structure makes it effectively uninvestable for us and many other institutional shareholders. This is undoubtedly the key reason the underlying large discount. It would, therefore, be in the shareholders' interest to move to a more orthodox governance structure. My question is, therefore, whether the Board is considering making any changes to the governance structure, and if so, over what time horizon? So, again, I'm -- just to make sure I answer this correctly, I'm not entirely sure what is meant by governance structure, but I assume it's referring specifically to the nonvoting shares. I mean, it looks from the question that that is. And the simple answer is, no, there are no current plans to change the nonvoting share structure. But if I haven't answered that question and it was meant to be tackling a different angle then, obviously, please do come back to us on the IR Web site. Next question is about liquidity, my question is direct, and to the point. With the discount remaining persistently wide, it's clear that the marketing efforts for the fund to fail. I've attached two graphs showing monthly trading volumes [indiscernible]. Over the long-term, trading volume has significantly declined. This suggests that the problem is deeper than a marketing problem. And given the investors' ability to influence the company -- sorry, given the investors' inability to influence the company given the [non-rating] [Ph] share structure, what's the Board's plan to demonstrate their interests are aligned with minority shareholders for the discount to be closed an acceptable level? So, some of that, obviously, I've tackled with what actions are we taking, how do we think about the discount, and the like. But I did want to -- I think this brings up another important point, and that is one of liquidity. I am unsure of how Yahoo Finance does their calculations, but I can say this, that the trading volumes have two areas where they trade on the London Stock Exchange, which is the U.S. dollar line and a U.K. sterling line. Also, our primary listing is Amsterdam, so the Euronext listing. And plus, there are anywhere between 10 and 20 different OTC exchanges upon which Tetragon shares are exchanged. So, when we look at liquidity, we are adding all of those OTC exchanges to the London Stock Exchange and the Euronext. And we are focused on, obviously, our shares being as liquid as possible, because, as we all know, liquidity begets liquidity. So, I haven't necessarily answered the question, but I don't think that Yahoo Finance is measuring it correctly. Next, reads as follows, could you please give me some color on the direct bucket of private equity and venture capital and the other equities in Credit Allocation, I'm not looking for specific names just trying to get a better idea about the role of these exposures, hedging other positions, opportunistic, thematic et cetera? So, I think the best way to think of this is, as you know, many of our investments either LP investments and funds, and those can either be TFG Asset Management funds or third-party fund managers. So, what these two buckets are is where we're not making an LP investment or an SPV investment. In other words, we're buying it directly for Tetragon and not as someone else's LP. So, as you might expect, and I think it's phrased in the question, obviously, this is an opportunistic approach, we might be upsizing a position that we really liked this in one of the funds, or it might be that we can hold it at Tetragon. But it's illiquid. So, it couldn't be held in one of the underlying funds. So, those are sort of opportunistic. But to answer the question is yes, we do have a few themes. I think Steve mentioned a few, but to maybe to give a little more color, what we're looking for is, the equity segment was, whether it be private or public, it growth where the growth and the growth dynamics are not too correlated to the market? So, what do we mean by that? Well, we're looking at, as Steve said, biotech or more broadly, life sciences, we have technology, we have healthcare, so all in areas where we think that the growth is, as I say it maybe binary in the case of biotech, or it may at least be not particularly correlated to market activities. And that's how we think about it in terms of thematics. Next question. In the past, the company has often elected to conduct a tender offer to repurchase shares in the fourth quarter. Were there any particular factors that led to the decision not to conduct an offer in 2021? Well, interesting question. Obviously, given today's announcement that we are putting a buyback in place and maybe that is the best answer to the question, but I just think it's worth noting that it may well be that we have historically conducted buy backs in the fourth quarter. But I wouldn't want anyone to interpret that as a particular pattern. We try to be opportunistic based on cash availability, other investment opportunities, the discount of the time. So, it's much more of an opportunistic approach rather than a particular annular approach. Next question. What led to the revaluation of Equitix in December? And does the change in valuation affect how you view that investment going forward given that it now represents 25% of the overall value in Tetragon? And I think, I mean there are two bits to that, obviously, why don't we start with the valuation which is one for Paul to take?
Paul Gannon: Sure, so, each of the TFG Asset Management businesses, including Equitix is revalued by the third-party valuation experts on a quarterly basis. As you would have seen, the investment in Equitix has a significant increase in value and posting overall gain across 2021 of approximately $350 billion and this was driven by a number of factors. Firstly, Equitix continue to raise cash significant rate, seeing a 23% increase in AUM during the year. Secondly, active plans to add further capital in the near future across the U.K., Europe and North America. And in addition, during 2021 a number of more directly comparable asset managers listed on major trading exchanges bringing some additional market led valuation transparency to the valuation of a manager like Equitix which hadn't been available in prior years. So, correspondingly, the valuation agent added a market multiples approach NAV over EBITDA to the overall valuation methodology such as valuation is now the mean of the market multiple and discounted cash flow approaches.
Steve Prince: Thanks, Paul. I'll address the second part of the question, which was does it change our view. And I suppose for sort of the easiest way to say is, no, it doesn't change our view. We have always been strong believers in Equitix as a business and as an investment, and we continue to be so. We believe that Equitix delivers -- I mean it delivers a great product and service to its LPs and clients. And very strong management team and its growing strongly, and we continue to be very excited about its continued growth and hopefully our ability to assist in that growth. And so, yes, it has become an increasing important part of the NAV of the portfolio. But no, it doesn't change our view.
Paddy Dear: And the next question is investment performance outside your mark-to-model private asset is pretty disappointing. Why continue to allocate capital to strategies with mediocre returns instead of reinstating prior dividend levels for instituting further share buyback. Shareholders have negative five-year returns due to in large part resentment resulting from your cutting of the dividend in my view could easily end this drought in the stock price if you started putting shareholder first. So, I think there are three parts to this question, the buyback, dividend, and allocation of capital. And now I address the issue of share buybacks and dividend as the first question. So, really here I want to address the capital allocation. And I think obviously, Sandy, we don't know the returns on investments. So, this is an observation of performance ex-post. And I think it's -- obviously it's easy to look with look with hindsight and say that one has allocated poorly when you have a poorly performing asset. I will not say that you shouldn't look at how the asset has performed. Obviously, it's a good disciple. But I think it has to go manage its money, it is likely that we will always have some poorly performing asset when we are looking in a rearview mirror. So, it's not a great surprise. Because what we are looking to do is achieve stable returns across various -- different investments cycles and one of the ways we do that is to try have a diversified portfolio. And that set up across many different asset classes and strategies. So, I guess the answer to the question is ex-post, we will -- we do expect that we are always going to have some underperforming assets but obviously [indiscernible]. One doesn't know which of those are going to be. And so, it isn't a great surprise to us. Hang on one second, just looking through here one more on valuation. And it reads as follows. At the end of the period, so that will be the Q4 for the end of 2021, the basis of valuation on LCM and Equitix change to include EV to EBITDA. Is the EBITDA of the last 12 months, the current year, or the next 12 months? And I think Paul is probably the best person to answer that.
Paul Gannon: Sure. The valuation agent looks at both historic and forward expectations in determining the valuation through this methodology. And as I said on an earlier question, for LCM and Equitix there's currently a 50-50 [waiting between the multiple] [Ph] methodology and the DCF methodology.
Paddy Dear: Thanks, Paul. And one here, why do you have two separate platforms for investing in bank loans? So, this obviously is with reference to LCM and TCP. And I think -- and the answer to the question is partly corporate history but also they contemplate on different parts of the bank loan market. And so, LCM contemplates on the underlying bank loan. So, broadly syndicated bank loans in the U.S. Whereas TCP has a focus -- is a multi-manager platform and therefore it focuses on CLO managers. And therefore, obviously difference in the underlying decision making process. I appreciate there are few more questions on the discount to NAV which I am not going to read out in detail. So, apologies if I haven't read yours specifically but the purpose was to try and tackle that with the first question as a generic question for all. [Indiscernible] that brings us up to about the hour mark, I would like to leave it there. Thanks everyone very much for their interest in the company and participating with questions and listening today. And, will say thank you from all of us.
Operator: This now concludes our presentation. Thank you all for attending. You may now disconnect.